Naureen Quayum: Good morning, everyone. Welcome to Grameenphone's earnings disclosure for the second quarter of 2021.
 My name is Naureen. I'm the Head of Investor Relations. Thank you for joining us today.
 Our presentation, financial statements, additional documents are available for download on our Investor Relations website. You can also start posting your questions in the comment box. We will address them at the end of our presentation. In case you're unable to post your questions, please reach out to me through an e-mail or text.
 We will now start our presentation. I would now like to welcome our CEO, Mr. Yasir Azman. 
Yasir Azman: Thank you, Naureen. And good morning, everyone.
 My name is Yasir Azman, CEO of Grameenphone. I thank you all for joining us this morning.
 Let me start with some of the industry facts this time. As reported by our regulator, till May 2021, the telecommunications industry overall has gained more than 5 million subscribers, which is almost a 3% increase from the exit 2020. In the same period, mobile data users have increased by over 5 million also, a 5% increase from end of 2020. And 61% of total mobile subscribers in Bangladesh are using now mobile data services as of May 2021. These are reported by our regulator.
 If we talk about the highlights of the quarter 2. Quarter 2 2021 marks Grameenphone's return to top line growth amid the COVID-19 pandemic situation. From the last year, our total revenue grew by 8.1%. Having achieved the 80 million subscriber milestone in quarter 1 this year, we ended the first half of the year with 82 million subscribers, which is more than 10% growth year-over-year. And in addition to total subscribers, we also have significant growth in 4G users, which is 56.5% from last year. However, the challenges have become even more daunting over the past few weeks, as the country is facing its deadliest wave of COVID-19 till date. I'll come back on this later on.
 This top line growth of 8.1% is driven by the enhanced customer experience and digitalization we have driven during this period. We began 2021 with a stronger start compared to 2020, as we were able to deal with and manage most of the challenges from COVID-19 situation and business environment during [indiscernible].
 In the first quarter, we achieved a few milestones such as extensive expansion of 4G rollout, what we did across the country, while we -- also we acquired 10.4 megahertz spectrum at the auction held by the regulator. In the second quarter, we prioritized deploying those spectrum while we continued with network rollout, adding more capacity and coverage, which ultimately providing our customers with an enhanced network experience which is very key and [ is our prime ] when we deliver on our [ customer experience ]. We have also secured an additional TowerCo vendor, which will further strengthen faster rollout and enhance the strengthening network position. As both the demand for Internet and users of Internet are on growing trend in Bangladesh and for us in Grameenphone, we stay true to our ambition of being a key contributor to the digitalization of Bangladesh by meeting the demand for data while providing high-speed Internet experience for our customers.
 Despite the challenges from various restrictions due to the pandemic, we could display our ability in market execution, bringing in new products such as bundles for our customers' convenience in several price points and leading to more customer choosing Grameenphone as their preferred telecommunication service provider. We will continue to drive granular territory-level focus; at the same time, one-on-one personalized offer to ensure right products reach to the right customers, which enables us to grow and maintain a healthy sub base.
 Our approach in market execution led to 1.3 million net addition in subscribers base in this quarter; and in quarter, similarly, 2.3 million new 4G users, in comparison to 1.3 million net users or subscribers. And digital recharge has shown promising growth of 14.5% year-on-year, with a 24% year-over-year growth in active MyGP users. This is attributed to our continued drive through our own digital channels such as the launch of new and attractive bundles. [ I have already mentioned ] vouchers; and cashback campaigns from our flagship digital channels, MyGP app, and as well as in partnership with mobile financial service providers.
 So altogether, it's like this enhanced customer experience and digitalization, at the same time our ability to execute in the market in the most agile way, which from the -- taking learning from the previous quarters during this pandemic, helped us to come back [ as stronger as in ] top line growth.
 Grameenphone continued empowering the citizens of Bangladesh by being their preferred choice. At the end of the first half of 2021, Grameenphone is connecting a subscriber base of 82 million people, as I mentioned, of whom 43.7 million customers access the Internet. And 23.8 million are empowered with the power of 4G and is increasing. We have also -- from 8th July, we have incorporated a national vaccination management portal on our self-service app MyGP, enabling our customer to access the portal right from their fingertips. And these are the initiatives that are highly acknowledged and valued by the customers. 
 Grameenphone has been continuously [ assessing ] for COVID-19 development and responding with different direct and indirect contributions from the beginning of the pandemic. In continuation of our COVID-19 response Dakche Amar Desh in 2020, this year, jointly with that, we will provide food assistance under [ Dakche Abar Desh ] to the highly impacted population in -- of our society. Families with elderly members, pregnant, lactating mothers, persons with disabilities, families depending on women's earning and [ ultra-poor ] household and those who have not received any assistance from other sources will be prioritized under this initiative. We are welcoming many other corporates to join in this initiative, and that is why we say that this is [ Dakche Abar Desh ] during this time. We are firmly committed to play our role as a leading technology service provider as well as emergency service provider during this period and help our communities overcome these unprecedented, challenging times.
 [ As the ] situation that emerged end of Q2 in relation to COVID-19 pandemic. The recent wave, what we talk about, of COVID-19 in Bangladesh has proven to be the deadliest, so far. We have passed 1 million reported cases and registered over 16,000 deaths. The authorities have also successfully vaccinated 5.8 million people during this time. To curb the latest breakout, especially the Delta variant, the border areas of Bangladesh have been on lockdown since May, while stricter lockdown with the help of law enforcement has been in effect from 1st of July, which is at the beginning of the quarter 3. We started seeing the trend, the increasing trend, of Delta infected -- infection. It's like towards the end of quarter 2.
 Telecommunications services continues to be recognized as the emerging service provider during this lockdown. And since the beginning of the pandemic last year, GP has been operating with a strong business continuity plan utilizing the best practices and prioritizing the health and safety of our employees -- not only our employees, partners, stakeholders and customers. Despite various challenges and risks, which we continue to mitigate, our network operations have remained unaffected. There has been various retail closure due to the lockdown, which has affected our sales outlets. Our teams have worked nonstop to ensure uninterrupted distribution by utilizing channels which remain open as per the directive of the authorities to cater the customers still in the physical space for those who will need it. We have also utilized our power of our data analytics to understand the movement of our customers and our retailers and help our retailers to keep our customer, giving services, as far as the [ retailers are ] concerned. As you understand, the market is mostly prepaid customer base.
 We'll continue to monitor the situation and evolve when necessary by working together with our stakeholders.
 I'll come back with a summary. At this point, I will now welcome our CFO, Jens Becker, to take you through our financial performance for the quarter 2 2021. 
Jens Becker: Thank you, Azman. And good morning to everybody.
 Let me start with the main KPIs. Amidst the continued lockdown situation starting from April, Grameenphone managed to deliver a strong organic financial performance in Q2 with a positive growth momentum in top line along with a healthy profitability. The overall economy is largely impacted, as Azman said, by a new wave of COVID-19, with average daily new cases reaching to a level of more than 11,000 by the end of June. Despite the volatility of the situation, Grameenphone remained active in the market with strong subscriber acquisition, investment momentum and customer-focused market activities.
 In summary, Grameenphone had 8.5% year-on-year growth in subs and traffic revenue in Q2 '21 after a minus 2.2% in Q1 '21 and minus 2.8% in Q4 '20 on a daily basis. In terms of EBITDA, we continued to maintain a healthy margin of 62%. With the continued investment efforts backed by the newly acquired spectrum at the end of last quarter, GP's CapEx-to-sales ratio for the quarter stood at 11.3%, which was 9.6% in the previous quarter on a rolling 4 quarters average basis.
 Earnings per share stood at BDT 6.3 with a 17.1% year-on-year growth in Q2. The year-on-year growth in EPS is mainly contributed by the mentioned top line growth as well as lower finance costs.
 Turning to our subscriber numbers. Grameenphone continued its subscriber acquisition drive in the market, resulting into 1.3 million net adds in Q2, including 2 million new data users. Our sub base at the end of the quarter stood at 82 million, reflecting a 10.1% growth from last year and 1.6% from previous quarter. According to BTRC published information, as of May '21, GP's subscription market share increased therefore to 46.5% from last quarter, which was 46.4% in Q1. The number of data users for the quarter stood at 43.7 million, including 23.8 million 4G data users, reflecting an increase of 4G data users by 2.3 million.
 Next page, please, coming to our revenue development. In quarter 2, Grameenphone subscription and traffic revenue growth was mainly driven by the growth in bundles, means voice and data together; and then data alone and the voice revenue alike. The year-on-year daily subscriber and traffic revenue growth for the quarter was, as mentioned, 8.5% compared to the minus 2.2% in the Q1 this year, while year-on-year total revenue growth was 8.1% in Q2 due to lower interconnection revenue as a result of reduction in local call termination rates.
 Getting to the next page with more details. In addition to the continued focus on data and voice, Grameenphone has actively driven bundled products in Q2 in order to provide better customer value along with enhanced experience. By launching attractive and relevant bundled packs, along with the continued digital adoption efforts, bundle revenue grew by 6.5x compared to last year and 2.3x from last quarter. Excluding bundles, data-only subscription and "pay as you go" revenue increased by 4% from last year. With this substantial growth in bundles, the overall subscription and traffic revenue grew by BDT 2.6 billion, out of which 97% was driven by bundles with the BDT 2.2 billion and data-only with BDT 0.3 billion.
 Next slide. Grameenphone continued its value proposition through attractive market offers, supported by newly acquired spectrum and 4G network expansion. As a result, GP's average megabyte per user grew by 38.6% from last year and 22.5% from last quarter. The overall service ARPU slightly decreased by 1.1% from last year.
 Now turning to EBITDA. We had a year-on-year 7.6% growth in EBITDA, with a healthy margin of 62%. The growth in EBITDA was mainly driven by higher revenue. OpEx for the quarter stood at BDT 11.2 billion with a 9% year-on-year growth, while the higher OpEx was mainly driven by higher regulatory and sales and marketing costs due to the higher revenue.
 On the investment side, we kept the investment momentum continued with BDT 5.2 billion CapEx in Q2 focusing mainly towards 4G network and coverage expansion, along with deployment of newly acquired spectrum. GP rolled out 556 new 4G sites and 524 new coverage sites in Q2. At the end of Q2, the total number of 4G sites reached 16,146. The 4G population coverage, therefore, reached 96.3% with an 0.5 percentage point increase from last quarter, which was 95.8% 4G pop coverage.
 Next page. Net profit and earnings per share for the quarter grew by 17.1%. The year-on-year growth was positively impacted by lower finance costs, means lower foreign exchange loss and interest expenses. Net profit for the quarter stood at BDT 8.5 billion, with a 23.8% margin. On a reported basis, net profit after-taxes margin increased by 1.8 percentage points from last year. Year-on-year BDT 1.1 billion degrowth that we saw in operating cash flow, means EBITDA minus CapEx, was driven by the BDT 2.7 billion higher CapEx, which was partly offset by BDT 1.6 billion higher EBITDA.
 Net debt stood at BDT 5.8 billion as of Q2, in combination of BDT 12.3 billion liability and BDT 6.5 billion cash balance excluding the restricted cash.
 In terms of the contribution to the exchequer for the first half of this year, that stood at BDT 54.4 billion, equaling roughly 77% of our total revenue.
 With these, our -- as mentioned before, our earnings per share stood at BDT 12.85. And we are happy to announce an cash interim dividend of BDT 12.5 per share, constituting a payout ratio of 97%.
 With this, I would like to hand back to Azman for wrapping it up. 
Yasir Azman: Thank you, Jens.
 As you see, we are continuing with the stronger momentum we gained in the beginning of this year with return to top line growth as a combination of enhanced customer experience, digitalization and our agility to respond to the changing customer demand. We are also managing our operational challenges with all our capabilities in place and playing to our strength in the market execution. As the volatilities related to COVID-19 intensify, we will continue operating under our business continuity plan. We will continue collaborative efforts with our regulators and different government and private entities in our dedication to support our communities in the recovery from this pandemic.
 I'll stop here. Thank you, Naureen and all connected. 
Naureen Quayum: Thank you, Azman bhai.
 Up until now, we have not received any questions, so maybe we may wait for a few more minutes and see if anybody has any questions. If anybody has any problem logging in or typing on the comment box, you can e-mail me. Or you can text me on WhatsApp or SMS, whatever works for you. 
Naureen Quayum: I think we can start. I see some questions starting to come in. The first one, from [ Consilium ], "What is the impact of bundled offering on the blended pricing for data quarter in this -- data during this quarter?" Jens? 
Jens Becker: Yes. I think, as you're aware, bundles like in other markets are picking up. Bundles here means voice and data bundles. So on the pricing side, it's difficult to say, [ as it's a ] bundled product, to extract this. Overall we see continued price pressure, of course, in the market like we have seen in the previous quarters, but if you see, the uptake on data was tremendous on it with a strong growth on the usage, 38%, average megabyte per user, ending up with roughly 3.6 gigabyte per user, which was 2.6 gigabyte in the quarter a year ago. 
Naureen Quayum: Azman bhai, maybe you can take the second question. What led to substantial uptick in data consumption during quarter 2? 
Yasir Azman: This is actually directly related towards our data user growth, which we have driven over the period and heavily supported by new spectrum and site rollout. At the same time, a strong market execution, the window of opportunity we got with a lesser impact of COVID during this period in Q2. 
Naureen Quayum: Just a reminder to everyone who has logged in, if you cannot post questions, you can also text me on WhatsApp or send me an email if needed.  
 Azman bhai, I have one -- I'm sorry, Jens, I have one for you, "Current update on TowerCo and what will be the impact on financial statements?" 
Jens Becker: Yes, I think as mentioned before by Azman, we have onboarded a second TowerCo now. And we have so far in Q1, Q2, 765 had been rolled out by the new TowerCos altogether that we have. 
Naureen Quayum: Jens, I have one more for you, "On the price per gigabyte basis, can you help us understand the scenario better?" 
Jens Becker: Yes, I think I answered this before. That's on a price per gigabyte, it would be only possible on a stand-alone basis for the data only. In the bundled scenario, it's difficult to differentiate between it. It's -- therefore, it can repeat on the price pressure that we see in the market. It's a very competitive market that's continuing. But you see it's basically offset with a very high growth rates on the usage. 
Naureen Quayum: Jens, continuing with another one. "Since the voice ARPU is stabilizing while the data revenue is moving up sharply in terms of contribution, should one safely assume stronger revenue growth in coming quarters?" 
Jens Becker: I think that's the million-dollar question. I think in general, you would be correct if we would not be in this uncertainty that we see with the COVID right now. There will be with the strict lockdown that has been implemented from 1st of July. With the strict lockdown means also supported by the military army deployed to keep people safe in their homes. This will have a certain business impact as well. 
Naureen Quayum: I would just like to give a reminder that in Bangladesh, we are restricted from giving out forward-looking statements as well. 
 Jens, I have a question for you, "What percentage of total revenue came from digital channels, such as bKash, MyGP app in the last quarter?" 
Jens Becker: I think this is a very competitive question that we have, which we would not like to disclose. Hope for your understanding there in terms of revenue breakdown. But I might answer you different. If we come, what is important for us is actually the digital reload share that we have as part of going into a more digital world. And I think this, as we have said, has moved up by nearly 15% year-on-year, now totaling to 26.8% of which we have digital reload in terms of -- from digital and alternative channels. 
Naureen Quayum: Azman bhai, I have a question for you. "Can you please elaborate on the operational restrictions that the lockdown forces upon us? What kind of impact are we indicating here?" 
Yasir Azman: You see that telecommunications services has been declared as an emergency or essential service in the country. So as far as our network operation is concerned, maintenance, optimization rollout, we have not seen as such, any obstacles or restriction at this point of time. Ideally there should not be any restrictions because that has been declared an essential service. 
 However, we see that obstacle and restriction in terms of our distribution activities. Many of the shops are not even allowed. So even though if sometimes we are allowed to go for distribution, we are not able. There are other means of looking into it, how do you basically use your part of marketing activities and data analytics to understand and provide possibilities for our customers to retail by connecting with our retailers as it is mostly electronic retail system into the market. 
 I think as far as the impact concern of VSD while COVID restrictions get stricter, we see a drop in recharges. We've seen a drop in users initially, and then restart. Naureen? 
Naureen Quayum: Thank you, Azman bhai. We do not have any follow up -- I do see another question. "Were there any new promotional offers that were introduced during the quarter that drove strong 4G conversions along with strong data usage?" 
Yasir Azman: I can just give you a few thoughts here that this promotional offers depends, it's like many angles. It's not only as such, the new pricing or reducing prices also bringing in new price points, by understanding our customer needs and the changing behavior we see in this pandemic. This is one. 
 The other thing is obviously how granular you are to understand the customer movement and your -- before into the new areas where we are rolling out our new sites, spectrum and 4G. So altogether, in a combination of our enhanced customer experience, digitalization and our ability and agility to basically respond to the customer need actually drove a strong 4G conversions, while customers see the value out of those activities and efforts. Naureen? 
Naureen Quayum: We're waiting for some more questions. 
Yasir Azman: I can take the last one, given the more electronic recharges we were in the lockdown, whether it has impacted VSD. No, electronic digital recharges are more [indiscernible]. 
Naureen Quayum: Azman bhai, I have one more for you. "Unlike previous lockdown when we witnessed lots of SIMs getting inactive, is there a change in customer usage that we are witnessing during the lockdowns in 2021?" 
Yasir Azman: This, we observe every time when there's new restrictions come into picture. It's like that in the prepaid market where lot's of [indiscernible] are stopping their small businesses and also in the big enterprises. We see initial drop in terms of customer usage, and then we see it starts coming back again especially in the site. 
Naureen Quayum: I have one more, Jens. "What is driving the increase in sales and marketing expenses?" 
Jens Becker: This is mostly revenue. We have a strong revenue increase. You see out of this, of course, this is due to the commissions that we have as the biggest driver in sales and marketing. Of course, also as we getting back using now the spectrum deployment for extra activities that we have in the market to drive this. 
Naureen Quayum: Okay. We will wait 2 more minutes for any further questions. 
 Azman bhai, I have one last question for you. "Is there further headroom available in terms of subscriber addition before we have to go back to regulator for approval?" 
Yasir Azman: Yes. Subscriber addition before we go to regulatory approval, we don't see that we are operationally restricted in terms of having subscriber growth in the country, and we see that more and more subscribers are preferring them on a [indiscernible] customer experience and digitalization we are doing and bringing value to the customers. 
Naureen Quayum: Okay. I don't see any new questions. So thank you, everyone. Thank you for participating. Have a good day. If you have any questions at all, please feel free to get in touch with me over e-mail or phone. We can also take a few meetings next week. Thank you, and advanced [indiscernible] to everyone.